Operator: Good day, and welcome to the Independent Bank Corporation Fourth Quarter 2020 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Brad Kessel, President and CEO. Please go ahead.
William Kessel: Good morning, and welcome to today's call. Thank you for joining us for Independent Bank Corporation's conference call and webcast to discuss the company's fourth quarter and full year 2020 results. I am Brad Kessel, President and Chief Executive Officer, and joining me is Gavin Mohr, EVP and Chief Financial Officer; and Joel Rahn, Executive Vice President, Commercial Banking. Before we begin today's call, I would like to direct you to the important information on Page 2 of our presentation, specifically, the cautionary note regarding forward-looking statements. If anyone does not already have a copy of the press release issued by Independent today, you can access it at the company's website, IndependentBank.com. The agenda for today's call will include prepared remarks, followed by a question-and-answer session and then closing remarks. Page 4 of our presentation lists some of the actions that we have taken since the start of the COVID-19 pandemic to protect our employees, clients, vendor partners and the communities we serve. Today, our frontline associates continue to do an outstanding job serving our customers, as do the approximately 40% of our total staff who continue to work remotely. We continue to execute on our operating plan that we share each quarter. This plan is built around diversified and balanced growth, process improvements and cost controls, talent management and an enterprise-wide risk management framework. We believe following this plan will yield consistent and improving performance metrics over many quarters and many years. As we continue to navigate the many challenges brought on by the COVID-19 pandemic, we are pleased to report very strong financial performance in the fourth quarter and full year of 2020. I am so proud of the job our associates did in persevering this past year despite the extraordinary circumstances and challenges, all while staying focused on our purpose, that is assisting individuals and businesses to be independent. The highlights for our fourth quarter 2020 are shown on Slide 6 and include the following: Independent Bank Corporation reported fourth quarter 2020 net income of $17 million or $0.77 per diluted share versus net income of $13.9 million or $0.61 per diluted share in the prior year period. This represents increases in net income and diluted earnings per share of 22.4% and 26.2%, respectively, compared to 2019. Our return on average assets and return on average equity were 1.61% and 17.8%, respectively, compared to 1.56% and 15.9% in 2019. Our mortgage banking team generated net gains on mortgage loans of $15.9 million, up 149% over 2019, and total mortgage origination volume of $503 million for the fourth quarter. We were also pleased to see continued net growth in deposits of $39.6 million or 1.1% on a linked-quarter basis. Asset quality continues to be strong as evidenced by net loan recoveries during the quarter, a low level of nonperforming loans and nonperforming assets. We announced the payment of a $0.20 per share dividend on common stock on November 16, 2020. And most importantly, we continue to effectively operate our business continuity plan to safely serve our customers and protect our employees. Page 7 of our presentation provides a good snapshot of our historical financial performance and our efforts to produce consistent and improving operating performance year after year. For the year ended December 31, 2020, the company reported net income of $56.2 million or $2.53 per diluted share compared to net income of $46.4 million or $2 per diluted share in 2019. The increase in the 2020 fourth quarter and full year earnings as compared to 2019 primarily reflects increases in noninterest income that were partially offset by a decrease in interest income and an increase in noninterest expense and income tax expense. These full year results represent increases in net income and diluted earnings per share of 20.9% and 26.3%, respectively, compared to 2019. Our return on average assets and return on average equity were 1.43% and 15.7%, respectively, compared to 1.35% and 13.6% in 2019. Additionally, we were able to continue our annual trend of improving our efficiency ratio. This past year, moving to 59.2% for all of 2020 versus 64.9% in 2019. Driving these results were strong net gains on mortgage loans of $62.6 million, up 213% over 2019 and total mortgage origination volume for the year of $1.8 billion. Also for the year, we had deposit net growth of $600 million or 19.8%. Finally, I am pleased to report our tangible common equity per share increased by 16% to $16.33 from $14.08 prior year-end. Page 8 provides a good snapshot of our loan and deposit metrics for our Michigan markets. On Page 9, we display several key economic statistics, reflecting the literal shutdown of the Michigan economy during the second quarter of 2020. However, since then, we have seen noticeable improvement in statewide employment. On the COVID-19 front, the Michigan Department of Health and Human Services had been closely monitoring 3 metrics for stabilization or declines over the past several months. Michigan continues to see improvements in these metrics, which has allowed for additional relaxing of protocols and reopening of activities. As a result, state government is opening up restaurants and bars on the 1st of February. Progress continues with the COVID-19 vaccine rollout. Health care workers, people over age 65 and other essential workers are currently eligible to receive the vaccine. On Page 10, we provide a couple of charts reflecting the composition of our deposit base as well as the continued growth in this portfolio while working to effectively manage our overall cost of funds. On Page 11, we provide an update on our $2.8 billion loan portfolio. For the fourth quarter, commercial balances declined by $109.4 million. Mortgage balances declined by $8.1 million and installment balances declined by $4.3 million. Despite the decline in commercial balances for the quarter, we are experiencing an increase in our commercial pipeline with the underlying economy showing strength, including the manufacturing sector. Additionally, the mortgage pipeline has continued to stay strong through the first 3 weeks into the new year. For the full year 2020, we did finish with net loan growth of $8.5 million over the prior year-end. On Page 12, we have an update on our loan modifications, which declined to $21.4 million or 0.78% of total loans at December 31, 2020. On Page 13, we are displaying the update on the bank's administration of the SBA's Paycheck Protection Program. As of December 31, 2020, we had $170 million in balances outstanding and $3.2 million in unaccreted fees. We expect most of these fees to be accreted into interest income over the next 6 months. Additionally, since Round 2 or Phase 2 of the program was opened up, we have received 760 applications for a little over $100 million to date. Currently, we estimate Phase 2 volumes to range between 40% to 50% of what was originated in Phase 1 by our team. On Page 14, we are displaying the concentrations or makeup of our entire commercial loan portfolio. The portfolio is very granular in nature with the largest concentrations in C&I being manufacturing at 11%, construction at 8% and retail at 7.5%. Within the commercial real estate portfolio, the largest concentration is retail at 7.8%. Our credit metrics indicate this portfolio continues to hold up very well, including loans in those industry sectors whose business has been more negatively impacted by the COVID-19 pandemic. This includes the hospitality and food service industries. Page 15 provides an overview of our investments at December 31, 2020, as well as activity during the quarter. In terms of capital management, our capital levels continue to be strong with tangible common equity to tangible assets of 8.6% at December 31, 2020. We paid a quarterly cash dividend of $0.20 per share on November 16 and recently declared a $0.21 cash dividend on January 25, 2021, payable on February 16. This represents a 5% increase over 2019 and is the seventh consecutive year we've increased our cash dividend. On December 18, 2020, our Board of Directors authorized a 2021 share repurchase plan. Under the terms of the 2021 share repurchase plan, the company is authorized to purchase up to 1.1 million shares or approximately 5% of the outstanding common stock. The repurchase plan is authorized to last through the end of December 31, 2021. At this time, I would like to turn the presentation over to Gavin to share a few comments on our financials, credit quality, CECL, the scorecard for 2020 and our outlook for 2021.
Gavin Mohr: Thanks, Brad, and good morning, everyone. I am starting on Page 17 of our presentation. Net interest income increased $0.3 million from the year ago period. Our tax equivalent net interest margin was 3.12% during the fourth quarter of 2020, which is down 58 basis points from the year ago period and down 19 basis points from the third quarter of 2020. I will have more, some more detailed comments on this topic in a moment. Average interest-earning assets were $3.98 billion in the third quarter of 2020 compared to $3.32 billion in the year ago quarter, and $3.89 billion in the third quarter of 2020. Page 18 contains a more detailed analysis of the linked quarter decrease in net interest income and the decline in the net interest margin. Our fourth quarter '20 net interest margin was adversely impacted by 3 factors: increase in interest expense related to the acceleration of amortization of loss on certain de-designated derivative instruments, accelerated premium amortization on securities and a decline in earning asset yield. We will comment more specifically on our outlook for the net interest income and the net interest margin for 2021 later in the presentation. Moving on to Page 19. Noninterest income totaled $22.4 million in the fourth quarter of 2020 as compared to $15.6 million in the year ago quarter and $27 million in the third quarter of 2020. The core story here is our actually strong mortgage banking revenues. Fourth quarter '20 net gains on mortgage loans increased to $15.9 million compared to $6.4 million in fourth quarter '19. The increase in these gains was due to an increase in mortgage loan sales volume and in the mortgage loan pipeline as well as stronger loan sale profit margins. Mortgage loan application volume was strong in fourth quarter '20 and continues to be strong at the start of the first quarter in 2021 as we have both a solid purchase market and refinance volumes continue to be strong due to the lower interest rates. Partially offsetting these strong gains was a $384,000 loss on mortgage loan servicing due to an $892,000 or $0.03 per diluted share after tax decrease in the fair value due to price and a $1.3 million decrease due to pay downs of capitalized mortgage loan servicing rights in the fourth quarter of '20. As detailed on Page 20, our noninterest expense totaled $32.7 million in the fourth quarter of 2020 as compared to $29.3 million in the year ago quarter and $33.6 million in the third quarter of 2020. Performance-based compensation expense decreased $2.8 million over third quarter '20, primarily due to a decrease in the accrual for the annual management incentive compensation plan. The third quarter of 2020 included $1.5 million of conversion-related expenses. We will have more comments on the outlook for noninterest expense later in the presentation. Page 21 provides data on nonperforming loans, other real estate, nonperforming assets and early-stage delinquencies. Total nonperforming assets, $8.6 million or 0.21% of total assets at December 31, 2020. Nonperforming loans decreased by $2.3 million or 23% during the fourth quarter. Loans 30 to 89 days delinquent increased to $13.2 million compared to $5.8 million in the third quarter of '20. Two commercial loans totaling $7.6 million make up this increase. Since December 31, one of these loans has paid off and the other has become current. Page 22 provides some additional asset quality data, including information on new loan defaults and on classified assets. Page 23 provides information on our TDR portfolio that totaled $48 million at December 31, 2020. This portfolio continues to perform well with 94.2% of these loans performing and 87.3% of these loans being current at December 31, 2020. Moving on to Page 24, we recorded a provision for loan losses credit of $421,000 in the fourth quarter of '20 compared to a credit of $221,000 in the year ago quarter and a provision expense of $1 million in the third quarter of 2020. The single most significant factor driving the higher year-to-date provision for loan losses in 2020 was an $11.2 million or 128.3% increase in the qualitative or subjective portion of the allowance for loan losses. This increase principally reflects the unique challenges and economic uncertainty resulting from the COVID-19 pandemic and the potential impact on the loan portfolio. The allowance for loan losses totaled $35.4 million or 1.3% of portfolio loans at December 31, 2020. This ratio increases to 1.43% when excluding the PPP loans and the remaining Traverse City State Bank acquired loans. The adoption of CECL was delayed following the updated guidance included in the second COVID-19 relief bill passed in December of 2020. We expect to adopt CECL as of January 1, 2021, as allowed under the CARES Act extension. Page 25 provides an analysis of our allowance for loan losses under the incurred loss methodology and the CECL methodology at December 31, 2020. We estimate the increase to the allowance for loan losses to be in the range of $10.5 million to $12.5 million when CECL is adopted. The increase in the range over previously disclosed range is due to certain discounted cash flow model enhancements. Using the midpoint of our range, our calculated as if CECL allowance at December 31, 2020 was approximately $46.9 million or 1.72% of total loans. Page 26 is our final update for our 2020 outlook to see how our actual performance during the year compared to the original outlook that we provided back in January of 2020. Our outlook estimated loan growth at approximately 7%. As you can appreciate, many of the factors that shaped our original outlook have changed dramatically given the economic upheaval from the COVID-19 pandemic. Loans decreased $121.8 million in the first quarter but increased $8.7 million or 0.3% from the prior year-end. This growth is primarily due to PPP loans. The economic impact of the COVID-19 pandemic created challenges in our lending environment that were unforeseen at the beginning of the year. Net interest income grew by $1 million or 0.84% compared to a forecast of 5% for full year 2020. The original forecast assumed stable rates throughout the year. The rate environment for full year 2020 has been very different than the original forecast. Actual short-term rates declined 101.5% and long-term rates declined by approximately 1%. The net interest margin contracted by 46 basis points on an annualized basis. The growth in net interest income was generated by an increase in interest-earning assets of $483.8 million and fee income accretion related to the Paycheck Protection Program. As a result of the CARES Act extension, we did not adopt CECL in 2020 as forecasted. The full year 2020 provision was $12.5 million or 0.43% of the annualized average total loans. This is outside the forecasted range of 0.15% to 0.2% of average total loans. This provision includes an increase in the qualitative reserve of $11.2 million due to the shock from the COVID-19 pandemic. Noninterest income increased 69.2% in 2020 compared to the forecast of 3% to 4%. Higher-than-forecasted mortgage production, combined with higher margins on sale of mortgages, was a catalyst to our outperformance. Noninterest expense increased 9.56% for full year 2020, well above our forecasted range. The increase in 2020 compared to 2019 was driven primarily by an increase in performance-based compensation and expenses related to the data conversion. Our effective income tax rate was 19.18% for full year 2020, which was generally in line with our forecast. After pausing the share repurchase activity on March 16, 2020, the plan was reactivated effective October 30, 2020. The company purchased 30,027 shares at an average cost of $14.90 in the fourth quarter of 2020. Total shares purchased in 2020 was 708,956 shares at an average cost of $20.07. Turning to Page 27. This will summarize our initial outlook for 2021. The first section is loan growth. We anticipate loan growth in the low single-digit range and are targeting a full year growth rate of 1% to 2%. Excluding PPP loans, our target growth rate range is 5% to 7%. We expect to see growth across all 3 of our loan portfolios. This outlook assumes an improving Michigan economy. Next is net interest income, where we are forecasting a slight increase of 0.5% over full year 2020. We expect the net interest margin to trend lower compared to full year 2020 by 10 to 15 basis points primarily due to declining yields on earning assets. This forecast assumes no change in target federal funds rate in 2021 with long-term rates up slightly by year-end. We expect to adopt CECL as of 1/1/21. The initial CECL adjustment is expected to be approximately $10.5 million to $12.5 million. This adjustment is subject to certain financial review procedures that will be completed in the first quarter of 2021. A full year 2021 provision expense for the allowance for credit losses of approximately 0.25% to 0.35% of average portfolio loans would not be unreasonable. Related to noninterest income, we estimate a quarterly range of $13 million to $16 million. We expect mortgage loan origination volumes to decline by approximately 30% in 2021, combined with declining margins on loans sold. Our outlook for noninterest expense is a quarterly range of $28.5 million to $29.5 million, with the total for the year 4% to 6% below 2020 actuals. We expect total compensation and employee benefits to be lower in '21 compared to 2020 due primarily to the reduction in incentive compensation. Our outlook for income taxes remain the same in 2021 as it was in 2020 at an effective rate of approximately 20%, assuming the statutory federal corporate income tax rate does not change during 2021. Lastly, we believe that the share repurchases will be at the midpoint of our authorization of approximately 5% of outstanding shares. That concludes my prepared remarks. I would like now to turn the call back over to Brad.
William Kessel: 2020 has been an extraordinary period of time for all of us. As I mentioned at the beginning of my remarks, our team continues to execute on the initiatives reflected on Slide 28 of the presentation. One of the most significant initiatives is our digital transformation, which began early in 2020 with our announced change in core processing partners and the planned move to a real-time core banking platform. Through 2020 and now into 2021, we have achieved numerous key milestones on this journey. Later in 2021, we are excited to provide to our customer base a unified and enhanced digital and mobile banking experience. A strong digital offering is essential to compete in today's fast-changing digital world. If we learned anything from 2020, it is the importance of PPP in today's world, and that is people, perseverance and purpose. At this point, we would like to open up the call for questions.
Operator: [Operator Instructions]. Our first question today will come from Brendan Nosal with Piper Sandler.
Brendan Nosal: I just want to start off on the margin for this quarter. And I'm just trying to figure out what the appropriate way to think about the underlying core level is. So if I remove the $1.6 million of onetime interest expense that you guys took this quarter as well as the impact of PPP from both the numerator and denominator of the margin, I kind of get to a core underlying level of 306. Is that a reasonable way to think about kind of the true margin ex noise?
Gavin Mohr: Yes, I would agree with that, Brendan.
Brendan Nosal: Okay. Great. And then just a follow-up on that. Given that starting point and the outlook for 2021. So I guess you're looking for 10 to 15 bps of compression from the 334 level. So I guess that gets us to a 320 or 325, which is up a good bit from that 306 core level. So just kind of walk through the puts and takes of how you get from where the underlying margin ended the year to kind of how you're seeing it play out for 2021.
Gavin Mohr: Yes. Sure. So a couple of things. I think at the end of the year, specifically for fourth quarter, for sure, we saw acceleration in the premium amortization on the investment portfolio. So one issue there. I think that's above what we're going to see on average for next year. So that slowdown should add some yield to the portfolio. And then secondly, as we see loan growth come on next year at a higher yield, it should be able to increase in the first quarter or so.
Brendan Nosal: Got it. That's definitely helpful. And then just one final one for me. The NII outlook, 0.5% growth, that's off of the reported base of $123.6 million, correct?
Gavin Mohr: Can you repeat that, Brendan, I'm sorry.
Brendan Nosal: Yes, sure. The outlook for NII growth of 0.5%, that's off of the reported base of $123.6 million, correct?
Gavin Mohr: That's correct.
Operator: Our next question comes from John Rodis with Janney.
John Rodis: Just I guess as a follow-up to the last question on your net interest income guidance, the plus 0.5%. Does that include any impact of the next round of PPP?
Gavin Mohr: Yes, it does. We do have some revenue in 2021 regarding the second round. Yes.
John Rodis: So I think in your prepared remarks, you said you thought Round 2 could be 40% to 50% of Round 1. So are you sort of assuming that and taking the fees off of that into your guidance?
Gavin Mohr: Yes.
John Rodis: Okay. Okay. And then Brad, maybe just sort of big picture. What are you hearing from your clients, from your borrowers today about how do they feel about the economy and so forth?
William Kessel: Well, that's a great question. And I'll give you an initial response, but we have Joel Rahn with us today. And Joel heads up our commercial banking area. And I would say generally very optimistic about 2021 as we get past the first quarter and as the vaccine gets rolled out through the entire populations within our markets. Obviously, there are certain sectors of our economy that have been more negatively impacted than others. But coming out of a Board meeting earlier this week and getting feedback from just that group, which is representative of a number of different industries within the state, there was also that optimism for second half of 2021. Joel, you want to add?
Joel Rahn: I think you summed up it well. The obvious sectors that are struggling are the hospitality-related just because they just haven't been able to function at their full capacity, if at all. But core manufacturing, construction activity remains pretty solid.
Operator: Our next question comes from Joe Plevelich with Boenning and Scattergood.
Joseph Plevelich: A question on the impact of the CECL adoption. The $10.5 million to $12 million, will that flow through the income statement or that will be all retained earnings? And then I think you hinted that the allowance might be $47 million or so, 1.7% of loans. Do you see that as where it will likely settle in over the longer term? And if not, what do you think a good number to use in the longer term is for allowance to loans?
Gavin Mohr: Yes. So regarding the adjustment to CECL, that will run through retained earnings. And then that calculation of where we're at is inclusive of, so the 1.7% is inclusive of PPP. So ex PPP, over 1.8% to maybe 1.85%. I think our forecast -- I know our forecast says, longer term, given the economy improves, some of that qualitative reserve will probably ease up. Although we do, we are anticipating maybe a more normalized charge-off environment. So having said all that, we believe that is a appropriate level to begin.
William Kessel: Yes. I think that's good, Gavin. And the other thing, again, the onetime adjustment, those are pretax, too.
Gavin Mohr: Yes. Thanks, Brad.
Joseph Plevelich: Okay. And then the buyback, do you expect to be kind of programmatic and do a certain amount each quarter or more opportunistic? And what gives you confidence that 2.5% is the right number versus, say, trying to use it all?
William Kessel: Well, great question, first of all. And I would say, we would probably see ourselves as being more consistent with the buyback as opposed to maybe opportunistic really over time, quarter after quarter with an understanding of delivering on our forecast, cognizant of capital levels, cognizant of cash at the holding company, cognizant of growth rates as well as other growth opportunities. So I think, again, we're going to probably be more consistent with the share repurchase as opposed to opportunistic.
Operator: [Operator Instructions]. Our next question will come from Russell Gunther with D.A. Davidson.
Ryan Griffin: This is Ryan on for Russell Gunther. I just had a quick question on the expense guide for 2021. In addition to the reduction in incentive comp in the new year, are there any other meaningful levers to drive that expense ratio down?
William Kessel: Ryan, this is Brad. And Gavin, do you have a quick answer to that or I can?
Gavin Mohr: In terms of -- are you saying outside of the compensation piece? Ryan, can you maybe ask the question again?
Ryan Griffin: Yes, sure. So I was just wondering, outside of that compensation piece, are there any other planned reductions in expense that will drive down to that lower range that you had guided to?
Gavin Mohr: Yes. So the big one obviously is going to be the expense...
William Kessel: Comp expense.
Gavin Mohr: The comp expense, correct. Yes. And then obviously, we're ongoingly evaluating the expense structure. If you're talking noninterest specifically, I do anticipate there'll be some savings in interest expense relative to the de-designation, too. I actually mentioned that earlier. I don't know, Brad, if you want to add any more comment?
William Kessel: Yes. So in 2020, $19 million is recorded in performance-based compensation. And probably half of that related to our annual incentive plan. And then the balance was for various other programs, I'd say, a good chunk of it relative to our mortgage banking unit and hitting some milestones there. So I think we feel like in that category, we've got a lot of variability based on how the overall company is doing. After that, we're going to, as we have been year after year, hone in on each category. We closed 8 locations in 2020 and achieved some material cost saves. Our branch optimization team, if you will, is continuing to look at other opportunities. And the really tough one, Ryan, to nail down right now is, we have spent almost two years on this effort to change core partners and core processing platforms. And there were material contractual savings, which we're realizing at this point. But the back room efficiencies, which we know will be there, are very difficult to quantify right now. And if anything, to get the conversion done in a manner that is least negative impact to our customers. We have been running with a higher cost structure intentionally. And so I think there are some areas for improvement, but they're difficult to just quantify for you today.
Operator: And our next question is a follow-up from John Rodis with Janney.
John Rodis: Brad, just one follow-up. Just the recent announced acquisition between TCF and Huntington. Just your thoughts, potential opportunities for you guys within your Michigan footprint?
William Kessel: Well, John, thanks for the question. And it's a material event, obviously, within our markets. Between the two financial institutions, we compete with them in almost every one of our markets. And obviously, well, they announced here in the last week the closure of almost 200 locations. So that just will be opportunities for talent acquisition and will be opportunities for customer acquisition. I would point to our track record. We've had this disruption going on in our marketplace as the industry continues to consolidate for a number of years. And as we've shared with you and others, we have, I think, been very successful in adding talent and customers to our company.
John Rodis: Yes. I think it could be a real opportunity.
William Kessel: Thanks, John.
Gavin Mohr: Thanks.
Operator: This concludes our question-and-answer session, and I'd like to turn the call back over to Brad Kessel for any closing remarks.
William Kessel: I would like to thank each of you for your interest in Independent Bank Corporation and for joining us on today's call. We wish everybody a great and safe day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.